Operator: Good day, ladies and gentlemen, and welcome to the Northern Technologies International Corporation's First Quarter 2015 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today's conference is being recorded. I'd now like to turn the conference over to Matthew Wolsfeld, Chief Financial Officer. Sir, you may begin.
Matt Wolsfeld: Thank you. Good morning. I am Matt Wolsfeld NTIC's Chief Financial Officer. I'll be conducting the call today as Patrick Lynch, NTIC's Chief Executive Officer is currently in China on company business. Please note that our first quarter of fiscal 2015 financial results were included in our press release issued earlier this morning, a copy of which is now available at ntic.com. In addition, last Friday afternoon, we filed a Form 8-K with the SEC and on this past Monday morning, we issued a press release announcing the termination of our joint venture agreement, with Tianjin and ZERUST in China. Additionally, as of January 1, all sales of ZERUST product and services in China will flow through our newly formed wholly owned Chinese subsidiary. A copy of this release is also available at our corporate website. During this call, I'll review various key aspects of our first quarter of fiscal 2015 financial results, give a brief business update, including a decision to go direct in China, comment on our annual sales and earnings guidance for fiscal 2015, and conclude with a short question-and-answer session. As part of the discussion today, I'll be making certain forward-looking statements regarding NTIC's future financial and operating results, as well as our business plans, objectives and expectations. Please be advised that these forward-looking statements are covered under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, and that NTIC desires to avail itself of these protections of the Safe Harbor for these statements. Please also be advised that actual results could differ materially from those stated or implied by our forward-looking statements due to certain risks and uncertainties, including those described in our most recent annual report on Form 10-K, our recent press releases and our quarter report on Form 10-Q that will be filed during the next couple of days. Please read these reports and other future filings that we will make with the SEC. We disclaim any duty to update or revise our forward-looking statements. During the first quarter, of fiscal 2015, which ended on November 30, 2014, our total net sales continued to show consistent year-over-year growth in all three of the market segments that NTIC serves. Furthermore, we believe that our competitive position, operations and balance sheet are all stronger today than they were a year ago. NTIC's total net sales increased over 14% in the first quarter of fiscal 2015 to over $7.2 million, compared to the first quarter of fiscal 2014. This sales growth came from increased sales of ZERUST products, which increased over 8% and Natur-Tec products, which increased over 74%. While we're certainly pleased to see this continued healthy sales growth, which was largely in North America, we're also encouraged to see a 6% increase in income from our joint venture operations. Although sales by our joint ventures showed a decrease of 1.8% to $29.1 million for the first quarter of fiscal 2015, compared to the same period last fiscal year, this decrease is primarily attributable to the weakening of the Euro to the U.S. dollar and to a lesser extent the sale of our remaining ownership interest in the German Electronic Instruments Company, Mutec. This slight decrease in turn was partially offset by continued strong demand for our ZERUST products. All said, NTIC earned $0.22 per diluted common share during the first quarter of fiscal 2015 compared to $0.19 per diluted share during the first quarter of fiscal 2015, which is a 15% increase. As just announced in last few days, effective December 31, NTIC terminated its joint venture agreement with Tianjin and ZERUST in China. As of the beginning of the calendar 2015 all ZERUST Excor products and services will flow through NTIC Shanghai Company Limited, our newly formed wholly owned subsidiary, which we refer to as NTIC China. While the impetus for this action was a breach of contract by our former Chinese partner, we believe we will now have the opportunity to invest in and grown our business in this market much more aggressively than before. NTIC China will focus its near-term efforts on customers from the previous joint venture to the new subsidiary and then will dedicated its efforts towards aggressively expanding our market presence in China. Commencing with the second quarter of fiscal 2015, our consolidated financial statements will include the financial results of the new NTIC China subsidiary. During the first quarter of fiscal 2015 and prior to such time we held our 30% indirect ownership interest in our former Chinese joint venture indirectly through our majority owned holding company [NTIICN, LLC] [ph]. Our annual report on Form 10-K each year breaks up certain financial information on our joint ventures including our former Chinese joint venture and our quarterly reports on Form 10-Q also contain financial information on our former Chinese joint venture because of its significance to our financial results. As previously disclosed, in our fiscal 2014 Form 10-K, our former Chinese joint venture had net sales of almost $16 million and operating income before paying royalties to shareholders of over $5.5 million during fiscal 2014. Our 30% portion of the Chinese joint ventures operating income was over $1.6 million during fiscal 2014, which means that assuming we're successful in transitioning the sales of our former Chinese joint venture to NTIC China, our earning showed significantly increase since we will fully consolidate 100% of the net sales and operating income earned from NTIC China beginning in the second quarter of fiscal 2015. We also anticipate due to the consolidation of NTIC China, our net sales, cost of goods sold and operating expenses will increase and our equity and income from joint ventures and fee income for services provided to its joint ventures will decrease in future periods compared to the prior fiscal year periods. We recognize that it may take some time to transition the customers of our former previous Chinese joint venture to NTIC China and that this may result in some volatility in our operating results during the next few quarters. This will be true especially with respect to our second quarter of fiscal 2015, during which we have incurred and we will continue to incur significant start-up expenses and expect to incur certain losses at NTIC China prior to recognizing any significant revenue. During the first quarter of fiscal 2015, we incurred approximately $225,000 of direct expenses related to the termination of our former Chinese joint venture and the formation of NTIC China. These expenses consisted primarily of legal expenses and personal expenses associated with the establishment of the subsidiary, the hiring of a great new management and sales team and initial operations. These expenses are reflected in increased general administrative expenses and increased expenses incurred in support of joint ventures during the first quarter. The circumstances under which we decided to go direct in China were disappointing to NTIC and the entire federation of NTIC’s joint venture partners. However, we now view this situation as an opportunity and every one at NTIC and NTIC China are eager to move forward aggressively in this very important international market. Moving on to our oil and gas business. In the first quarter of fiscal 2015 our oil and gas team continue to focus its sales efforts on our solutions for protecting the bottom plates of oil storage tanks from corrosion. In this effort our team has continued to systematically target oil terminal operators and refineries in North America with continued success. Having seen the need for and acceptance of our innovative solutions, we expect this growth opportunity to continue during the remainder of fiscal 2015 and beyond. These continued successes with existing and new clients have bolstered our confidence in the oil and gas market and we're confident that our expansion into the oil and gas market will continue. However, as we have repeatedly mentioned, this is still a relatively new market for us, so we expect any associated benefits to our financial results will not be immediate and may be choppy with spikes in sales when opportunities are converted and revenue is recognized over the next few years. Now, turning to our Natur-Tec bioplastics business. Net sales of Natur-Tec products increased almost 74% during the first quarter of fiscal 2015, compared to the prior fiscal year period. This increase was primarily due to finished product sales through NTIC's majority-owned subsidiary in India and also due to increased sales in North America through our traditional distributors. We continue to see strong demand for finished products such as compostable bags and cutlery in North America as a direct result of increased adoption of zero waste initiatives and favorable state and local level waste management regulation. In the first quarter of fiscal 2015, we also entered into an agreement with NatureWorks LLC for joint marketing and sales of indigo-based packing solutions to customers in India. With recent Indian Government mandates banning the use of non-biodegradable plastics and certain types of foods and consumer packing, we expect the market in India for bioplastic packing solutions to grow substantially. We expect both of these segments to continue to be strong growth areas as we continue to target and convert additional manufactures to the use of Natur-Tec sustainable packaging solutions in Asia and worldwide. Now to summarize the financial results of the first quarter of 2015 compared to the prior fiscal year period. Sales of NTIC ZERUST products increased across all market segments during the first quarter of fiscal 2015, compared to the first quarter of fiscal 2014. Sales of industrial ZERUST corrosion inhibiting products increased over 7% as we experienced increases in demand for both existing and new customers. Sales of ZERUST oil and gas solutions increased over 28% in the first quarter of fiscal 2015 as we completed implementations and multiple new and existing customer sites in North America. Sales of ZERUST corrosion inhibiting products to our joint ventures increased over 4% in the first quarter of fiscal 2015 compared to the prior fiscal year period. Additionally income provided by our joint venture operations increased almost 6% to over $3.7 million during the first quarter of fiscal 2015, compared to the prior fiscal year period. Lastly, sales of Natur-Tec products increased over 74% to almost $1 million during the first quarter of fiscal 2015 compared to same period in 2014. Our total operating expenses increased 8% to $4.5 million during the first quarter of fiscal 2015, primarily due to an increase in general and administrative expenses and expenses incurred in support of joint ventures, which as previously mentioned, related primarily to the termination of our former joint venture in China and the formation and establishment of NTIC China. Overall net income attributable to NTIC increased 14.8% to over $1 million or $0.22 per diluted common share for the first quarter, compared to $0.19 for the first quarter of fiscal 2014. As on November 30, 2014, our working capital was $17.1 million including $2.6 million in cash and cash equivalents and $4 million in available for sale securities, compared to $17.8 million including $2.5 million in cash and cash equivalent and $5.5 million in available for sale securities as of August 31, 2014. Now turning to NTIC annual guidance, for the fiscal year ended August 31, 2015, NTIC currently expects its net sales to be higher in our previously estimated range of $32 million to $34 million due to the consolidation of NTIC China beginning in the second quarter. However, we're unable to provide specific guidance as to how much higher we're expecting that sales to grow at this time due to uncertainties regarding the actual anticipated transition of sales from our former Chinese joint venture to NTIC China. We believe we should be in a position to provide more specific updated sales guidance in April 2015 when we report our second quarter of fiscal 2015 financial results. With respect to our earnings guidance, we continue to expect net income of between $5.4 million to $5.7 million, or between $1.20 and $1.26 per diluted share. However, as with our sales guidance, we intend to update our earnings guidance at the end of second quarter after we have a better understanding of the financial impact of the termination of our former Chinese joint venture and the establishment of the new Chinese subsidiary. With that update, I will now answer any questions you may have.
Operator: Thank you. [Operator Instructions] Our first question is from Tim Clarkson of Van Clemens Capital. You may begin.
Tim Clarkson: Hey, great quarter. Just wanted to know where are we exactly in terms of the timing of this transition in China? When was he told that he was going to lose his deal and when did you guys start taking over?
Matt Wolsfeld: He was notified just two days ago. Patrick is actually in China right now meeting with the former partner to kind of coordinate the liquidation of the company and termination of the joint venture agreement. However, the company started the process of hiring our new sales and management team in China so that when we were -- so that as we notified the individual of the termination of the joint venture the new company was ready to start selling product. So, the new company is on the ground; and once the new -- or once the old joint venture was terminated, the new sales team and new company was immediately out, visiting customers and ready to start transitioning customers and sell product.
Tim Clarkson: As far as you know, is the Chinese government okay with what you guys did?
Matt Wolsfeld: Without question we're -- everything -- all the joint venture agreements were previously -- we have very specific contracts in place and the events that took place were very clearly a breach of those contracts.
Tim Clarkson: Okay. And in terms of, you mentioned before, you thought there was a potential you want to transition the current customers that there's opportunities in other parts of China for other applications.
Matt Wolsfeld: That's correct. We certainly -- the Chinese market should be -- it should be the biggest market that NTIC and its joint ventures currently have. And we feel that in looking at different regions outside of what the former NTIC joint venture served that there are significant opportunities for growth as we start to sell products, start to meet with customers, start to move into Northern China and Southern China, other areas that we are -- we view as being currently underrepresented.
Tim Clarkson: One last question, what was Mutec? I didn't hear that name before.
Matt Wolsfeld: Mutec was a company, an unrelated non-U.S. company that sold various instruments that measure moisture content in various products that we had been invested in for probably 12 years. We held a 30% ownership interest and we sold our ownership interest in that in second quarter of fiscal 2014. There was not a gain or loss associated with the sale of the business. However, Mutec had sales in first quarter of last fiscal year. So there are about $500,000 in sales in first quarter of last fiscal year that we obviously did not have in the first quarter this fiscal year, and that's part of the change as far as showing a 1.8% decrease in joint venture sales.
Tim Clarkson: Okay. Not a big deal.
Matt Wolsfeld: …as part of the redeployment of $0.5 million down.
Tim Clarkson: Right. Okay, thanks.
Matt Wolsfeld: Sure.
Operator: Thank you. Our next question is from Joe Furst, The Furst Associates. You may begin.
Joe Furst: Good morning. It's Joe. Good quarter, congratulations. Could you explain little bit on the progress in the oil tank base business? You said it's growing, but can you give a few numbers to see what exactly what you're talking about in little more depth.
Matt Wolsfeld: Sure. I guess to get a little more in-depth, last year we talked about completing in its first year of operations roughly 50 above ground storage tank solutions. At this time being three months into -- being one quarter into the fiscal year, we have delivered or have completed installations or in the process of delivering on 40 tanks with the idea, and I think the goal was to at least double the amount of tanks that we did in our second full year of operation. And we feel that we're certainly on-track to do that. Generally, the winter months tend to be a little bit slow when it comes to tank maintenance compared to what gets done in the other nine months. We certainly feel like we're on-track to double those sales. There's other items inside of oil and gas as far as selling traditional packaging and other items that have increased and that are going well.
Joe Furst: Thank you. And how about the Flange business?
Matt Wolsfeld: The Flange business; again, the majority of the Flange business still remains in Brazil. I'd say they had very low sales in Q1 of FlangeSavers specifically compared to what they did last year. Can tell from talking to the individual that run our U.S., Brazil operations that anticipates several large orders during the next eight months, which would give us a nice chunk out of the remaining contract that remains with Petrobras. So FlangeSavers were not -- certainly wouldn't say were robust in Q1, we certainly anticipate selling a large amount of FlangeSavers specifically to Petrobras over the next eight or nine months.
Joe Furst: Good. How about any progress with other companies using the same technology? Is that worked so well with Petrobras?
Matt Wolsfeld: And I think we've mentioned on the call that we don't have anything significant to report yet. We're working on new tests with several large players in the Gulf that we've talked about that are still in the testing and evaluation process. I can't tell you too much more than that.
Joe Furst: Thank you. And just one quick question, I missed the point. You said that the Chinese operation, you mentioned $1.6 million, what did that represent again?
Matt Wolsfeld: In 2014 the income that NTIC recognized, our 30% interest…
Joe Furst: Right. It was $1.6 million.
Matt Wolsfeld: …in China was $1.6 million, meaning that the other 70% of China generated close to $4 million of income.
Joe Furst: Right.
Matt Wolsfeld: So, going forward, if we're able to convert that business at similar operating income percentages and what have you, our expectation is that we're going to be able to put that entire $5.5 million to our bottom line once we're able to convert that business and then grow it from there as we continue to expand into China.
Joe Furst: That's great. Great. Okay. Thank you very much.
Matt Wolsfeld: Yeah.
Operator: Thank you. [Operator Instructions] Our next question comes from [Gerry Dwelly] a Private Investor. You may begin.
Unidentified Analyst: Hello Matt, Gerry Dwelly. See, two questions. One is, last time Patrick had mentioned that there was a possibility; some of the states were looking at some kind of requirements relating to tank protection, and wanted this -- to give us an update on that. And then second, I'm curious how this relationship came together in NatureWorks. If that’s -- if it's primarily relating to your side that they've got a strong sales force and that was kind of the driving force, or just give us a little more color on the relationship with NatureWorks.
Matt Wolsfeld: Sure. Specifically NatureWorks NTIC -- Natur-Tec has worked with Cargill NatureWorks for sometime within their -- in their POA. And really what happened is NatureWorks was looking to expand into the Chinese market because of specific legislation that's been put in place in India and other areas of Southeast Asia. We, with the new company, the Harita -- sorry, with the new company that we had, Natur-Tec India, we were able to start partnering with Natur-Tec where we are acting as a distributor of the NatureWorks resin. And so, what we're doing is we are -- they're essentially utilizing our sales force at Natur-Tec India, and they are bringing Natur-Tec India into new opportunities where we'll go into sell various resins and various resin solutions and bioplastic resin solutions to these new customers and we're able to sell -- either sell a modified resin or sell something through Natur-Tec India or directly distribute the NatureWorks product. The other benefit that this relationship has is that we get more favorable pricing on one of our key base resins in manufacturing all of our Natur-Tec products. So, overall associating with NatureWorks is a very positive thing for the company and one of the things we certainly hope to -- will lead to some of that continued sales growth, both in India and also product that is sold throughout the rest of the world.
Unidentified Analyst: Matt, you're driving as far as the sales force is -- as primarily your sales force.
Matt Wolsfeld: Yeah. It's correct. It's our sales force.
Unidentified Analyst: Okay. And then any update on the state requirements…
Matt Wolsfeld: I don't have anything significant to update on any of the various requirements. It's certainly something we're still pushing forward. Potentially I could give an update most likely during second quarter if there's been anything new that develops over the next couple of months.
Unidentified Analyst: Okay. Thanks.
Matt Wolsfeld: Sure. Thanks Gerry.
Operator: Thank you. Our next question is from Mike Ross of Van Clemens and Company. You may begin.
Charlie Pine: Hi. Matt, this is Charlie Pine. I'm in Mike's office. Good morning.
Matt Wolsfeld: Morning.
Charlie Pine: Nice quarter. I have a question for you, just to clarify a little bit of something on the oil and gas tank business. Did I understand you right that you did 40 more tank installs in Q1?
Matt Wolsfeld: In Q1 and in the start of Q2 we have delivered and/or done installation on 40 tanks, or over 40 tanks.
Charlie Pine: Okay. Over 40 tanks. Now, I'm gathering that's with a mix of customers; some that have probably done it on a handful of tanks and some that are new. Have any of these customers started to more significantly increase the quantities that there, and they spread it around into their infrastructure, say going from two to three tanks to five to 10 or more tanks at this point.
Matt Wolsfeld: That's certainly what we're seeing. I mean the increase in tank sales that we've seen in Q1 compared to last year is related to both new customers, but also, as you said, the customers that are starting to roll this product out to additional tanks. Certainly our goal is to handle and to do the installation work on as many tanks as possible of the specific customers. It's obviously easier to sell to an existing customer and it's easier for us to do a second tank all the way through 10th or 20th tank with the same customer compared to converting a new customer where you have to deal with essentially the new installation team and a new process. So, those are definitely areas that we're -- that's definitely what we're seeing and definitely what we hope to continue to capitalize on.
Charlie Pine: I noticed in the prepared remarks you mentioned that you haven't yet experienced any softness in the tank business due to the rapid decline in crude spot prices. And one would think that because you're dealing with more mid-stream and refineries and companies in that area that you're not as exposed to the E&P environment. But do you -- at this point are primarily -- do you have much of any exposure in the -- of any of your customers, are they with -- are they people that are using it for that would be really considered to be E&P-type customers?
Matt Wolsfeld: I will try to get back to you on that and really see exactly where in the process the customers are. It's my understanding from talking to Gotham and from speaking to other people that it's not. And so, I kind of need to confirm a little bit and look at exactly where the sales are going, which is information I don't have right on my fingertips right now. But for the most part, with the number of tanks that we have done and how it's such a small number of tanks, and even with doubling it and even if we were to do significantly better than that, it’s still such a small, small percentage of the total infrastructure that's out there that so far we haven't seen any pull back of any hesitation from any customers due to anything that has to do with oil prices.
Charlie Pine: Okay. Lastly on that sort of on the same topic, is there any part -- is there any sort of specific geography in North America that has been -- that you would point to where you're finding greater successes in the tank area? Are you doing more in the mid part of the country or in the -- along the area -- along the Gulf with Gulf refiners, Gulf area refiners' internal companies and how is it sort of located across?
Matt Wolsfeld: It's honestly all across the -- it's all across North America.
Charlie Pine: Okay.
Matt Wolsfeld: I mean, everywhere from Alberta to the Bahamas to Oklahoma are places where we are doing the tank bottom installations.
Charlie Pine: And I guess lastly, what the heck, I might well just ask this. Do you foresee that you might get into some foreign expansion with the above ground tank solution in 2015, or you're looking at -- waiting for oil in that?
Matt Wolsfeld: I certainly hope so. I mean, we have -- there's interest. It's a matter of timing and converting the business.
Charlie Pine: Okay. Well, great, Matt. Thanks a lot; and once again, great results.
Matt Wolsfeld: Thanks Charlie. Take care.
Operator: Thank you. Our next question is from Dick Feldman of Axiom Capital. You may begin.
Dick Feldman: Good morning. Thanks for taking my call, and nice results. I have a couple of questions. First, on the oil and gas sector, the non-tank business during the first quarter of the fiscal year; was that down from a year ago? You made particular reference to doing very little in Brazil?
Matt Wolsfeld: You're looking -- you're taking about just in Brazil, or are you talking about…
Dick Feldman: Or in general. In other words, if you had, I mean…
Matt Wolsfeld: I'd say, in looking at the numbers FlangeSaver sales, the oil and gas sales in Brazil were up slightly from last year; but again, the total amount of revenue recognized in either Q1 of this year or Q1 of last year was very small compared to the total oil and gas sales last year and what we expect to do this year. So, neither one of them is that significant. The majority of the revenue that came in for oil and gas in Q1 related to the tank bottom solution and some other projects that we're working on, whether it's the sale of powder-based products or the sale of traditional packaging products to oil and gas customers. But I would say that inside of oil and gas there's certainly isn't a decline in any kind of sales of any other products at this point.
Dick Feldman: Okay. And given the -- at least the tank business at least tend to be somewhat low on lead time on a sense so that you have visibility going out into the year.
Matt Wolsfeld: Correct. I mean there is certainly some visibility for the next three or four months. But as I said, the spring and summer -- spring and summer months in the oil and gas, specifically North America tend to be much more active than the winter months. And we saw that last year and we're -- so we kind of built that into our expectations of sales. I can also tell you that our expectations of the doubling sales of tank bottom solutions has to do with request that we have where we have answered request for proposals and have submitted bids and things like that to customers.
Dick Feldman: Okay. So that -- you think that's reasonably firm.
Matt Wolsfeld: Yes.
Dick Feldman: Turning to the plastic side of your business, you've had a large increase in sales, what has been the impact of that on both gross margins, and is now the -- an operating income, are you now meaningfully profitable there?
Matt Wolsfeld: When you talk the plastics business, I'm assuming you're referring to Natur-Tec.
Dick Feldman: Yes.
Matt Wolsfeld: Previously we have talked about Natur-Tec needing to be at $4 million to $6 million of revenue, given the gross margin that it'll operate at in order to be profitable. And given that we hit close to -- very, very close to $1 million in sales for the quarter with the expectation that sales are going to continue to ramp up during second quarter, third quarter and fourth quarter, we certainly feel like we are on pace of putting out results together right now that would have us at breakeven or very close to breakeven during the current fiscal year.
Dick Feldman: Has there been any change in the Natur-Tec gross margin, with the -- or is it -- go ahead.
Matt Wolsfeld: No, I was going to say that gross margin has actually improved slightly in Natur-Tec. I think as we get -- as we become better at processing the resins, also the relationships that we have with our key suppliers, as that improves, there's certain increases that we get in gross margin. Plus it's also, as we start to do more volume; we're able to get a slightly better margin as well. We're certainly not at the worst gross margin levels, but we certainly are better off, significantly better off than we were two years ago.
Dick Feldman: And it sounds in the Natur-Tec side of the business that you have got heightened interest in the application that gives you confidence that you'll continue to experience good gains this year.
Matt Wolsfeld: Yeah. Natur-Tec is doing very well. And the interest is coming because of the various -- in North America, the various legislative mandates that have taken place, specifically in California and in the West Coast are driving the increase in business in North America. There's other interest in other areas around the world, specifically in India, Southeast Asia, Europe where we're starting to see increased level of interest. As we've kind of talked about over the past four or five years, this is the bioplastics, specifically compostable plastics, we knew the market wanted to get into because of the momentum that we saw specifically at the legislative mandated levels. And what we're really starting to see is what was being talked about in legislative before is now kind of at the point where we meet the role where people need to implement these solutions. And so, this is what we saw a few years ago and this is the reason why we're now seeing the sales growth and this is the main reason of why we put so much effort over the past eight, nine years into the Natur-Tec business.
Dick Feldman: How do you see yourself competing against those so called biodegradable plastics that really are not compostable?
Matt Wolsfeld: Well, the positive thing is that it's not as much a matter of us competing against those. It's more a matter of those -- some of the biodegradable plastics, specifically like the oxo-degradable products and other plastics that claim to be bioplastics because they mix in some of the compostable plastic content. A lot of those are -- a lot of those are leaving the market because specifically they are not being accepted at various compost facilities, the large municipal compost facilities like Cedar Grove in California. Those compost facilities are finding companies that deliver compostable waste to them that is in non-certified compostable packaging. So as various companies are beginning to implement composting, they're figuring out very quickly that they need to use certified -- ASTM-certified compostable plastic packaging. And there aren’t that many companies out there that are selling in ASTM D6400 certified plastic packaging. And Natur-Tec is one of them. And that's going through a reputable distributor and reputable distributors that we do in North America it's really what we're seeing is companies are really starting to figure out what is just -- what good products are.
Dick Feldman: How proprietary are you resins? Do you have exclusive use of them, or could some other company use the same resins?
Matt Wolsfeld: We'd be happy to sell resins to other companies, but they're certainly proprietary resins that we have patents on.
Dick Feldman: Okay. Great. One more question and that relates to China. You sort of indicated in your comments that there were certain regions in China that you did not think the prior distributor was doing a good job. And I guess that question relates to if you were to -- it sounds as if; A, if you can just convert the existing customers there's a very big impact to the bottom line, but how much more additional growth is there? So on what you've been able to identify in those regions that you feel you're underrepresented?
Matt Wolsfeld: Well, I just want to say we'll see. But I mean, I can tell you over the past few years we have tried very -- we've been working to expand into other markets of -- in China where we see there's obviously a tremendous amount of industrial customers and part suppliers that are exporting ferrous metals. And we feel like we can build a very, very capable sales team that will be able to fully go after all the existing markets in China. So, if you break up China into four or five key regions, we feel that there was one specific region where we were well-represented, and we feel that there are three or four other key regions where we want to significantly increase our market presence. And these are areas that we are going to aggressively go after once we're able to convert the existing business. So, our hopes are that we put a plan in place to accomplish just that so that going forward the increases that we see out of China are going to be one of the significant revenue drivers at NTIC.
Dick Feldman: So, in theory, this is -- takes a moderate growth business and gives it maybe some near-term over the next three, four years substantial growth opportunities?
Matt Wolsfeld: That's certainly how we're looking at it. And that's certainly what we're going to very aggressively trying to do.
Dick Feldman: Okay. Well, great. Good luck. And once again, a good quarter, and thanks for taking my calls.
Matt Wolsfeld: Yeah. Appreciate it.
Operator: Thank you. Our next question is from Walter Ramsley of Walrus Partners. You may begin.
Walter Ramsley: Thank you. Congratulations, Matthew. Everything is looking really good. I've got a couple of follow ups. Do you have a summary of what the foreign currency impact was on the sales and earnings of the company or to the joint venture or however you keep track?
Matt Wolsfeld: I don’t have it broken down it to an exact earnings per share number, but I can certainly tell you that the -- from going from the euro at August 31 compared to the euro at November 30, you're looking at a 6% to 8% decrease. I mean one thing specifically is looking at the sales and looking at the sales at one of our largest joint ventures in Germany and in Europe, their sales were up -- on a euro basis were up close to €350,000 to €400,000; however, from a U.S. dollar standpoint, we're only up $50,000 to $60,000, $70,000. Obviously we look at the comprehensive income statement that we'll have in the Form 10-Q when it gets filed hopefully tomorrow, you'll see that it had although temporary, there certainly was an impact on the euro, given the 70% of our joint venture business -- close to 70% of our joint venture business is euro based, it had an impact and certainly on the royalties that we collect from those European partners, even if the euro amount was up, the amount of dollars that we collected was down. So the fact that our joint venture operating income was up compared to Q1 of last year it would have been up significantly more had there not been such a decline in the euro.
Unidentified Analyst: Okay. So the unit volume would be -- the direct comparison was minus two I guess if you didn’t make any adjustments, so based on what you're saying it sounds like the unit volume was up may be 4% to 6% something like that?
Matt Wolsfeld: I would probably say that it's in that area.
Unidentified Analyst: Okay. Good thank you. As far as the new Chinese operation goes, will there be any currency repatriation problems getting the money out of there?
Matt Wolsfeld: Even with the existing, the joint venture that we just terminated, that joint venture had traditionally paid royalties and large dividends to NTIC ICN, which is a U.S. based LLC and we didn’t have any issues making any kind of payments to that entity. I don’t anticipate there being any significant difficulties with making dividend payments back to the United States. But also we intend to do invest very heavily in the Chinese market. So I don’t necessarily see the need to bring any kind of cash back from that new subsidiary anytime in the near future.
Unidentified Analyst: Right. No I understand. I am just wondering in the future once you turn into a cash cow whether you can actually get the money out. So it sounds good?
Matt Wolsfeld: I certainly feel like we have the right -- like we're working with the right people as far as the right banks, the right attorneys and what you have that it shouldn’t be an issue to make a dividend payment.
Unidentified Analyst: Okay. And in the first quarter the start-up cost there were 225,000, is that sort of the run rate you anticipate for the second quarter?
Matt Wolsfeld: No I would anticipate the run rate to be significantly higher in second quarter than it was in first quarter. In the first quarter, we had some legal expenses associated with the start-up of the new subsidiary and also the hiring of few people as opposed to the travel expenses of having them trained, flown over the United States, trained and getting things up and running. The majority of the expenses associated with starting up the operations are going to be borne in second quarter. So I would anticipate a very volatile second quarter with a significant amount of expense without offsetting revenues coming from China.
Unidentified Analyst: Okay. And one last thing. The tax rate was a little lower in the first quarter, was that just a temporary blip or is there some actual change taking place?
Matt Wolsfeld: No. There is no actual changes taking place. I think it had more to do -- just more to do with -- last year we anticipated and we received a very large dividend from our German joint venture. This year the dividend that we agreed on was less for various reasons that you can imagine given the current state of Euro and so that will slightly impact the effective tax rate that we have, but I don’t anticipate it to be anything more than kind of a temporary difference if you look at the effective tax rate that we've had over the past four to five years and it's generally pretty consistent and I would expect that it would stay at that level.
Unidentified Analyst: Good. Okay, thanks for taking the questions. Congratulations.
Matt Wolsfeld: Thanks. Appreciate it.
Operator: Thank you. We have a follow-up question from [Jerry Donnelly] [ph] a private investor. You may begin.
Unidentified Analyst: Thank you. Matt, just a follow-up on China. Obviously your former venture partner over there is going to try to maintain those clients may be with the competing product or whatever. I just want to get a flavor for what kind of relationship you have with the end customer in China to do business with most of them in other parts of the world. And just I guess trying to get a bit of feel for you what your -- I think the odds are of maintaining or actually be established in new and direct relationship with them and give a little flavor about who those customers are and not names, but if we do business for them elsewhere and etcetera just give us a flavor on what the odds might be of retaining those?
Matt Wolsfeld: Sure, part of -- I think a lot of the growth that we've experienced in China over the past 10 years from when we really got things up and running was due to U.S. and European-based automotive and industrial part suppliers that left North America and left Europe and went to China. So a lot of the parts for export are going to United States and going to Europe. They're going to large automotive companies, large industrial companies that you're very familiar with and in general the decision making for the specs on how those parts need to be packaged are traditionally made in that home territory. So if there is a large U.S. automotive company that is specking in this U.S. product, they're mandating that their Chinese suppler use those U.S. packaging and in a lot of situations, that’s where we're running into and now the new wholly owned subsidiary that we have started is the only source for that specked in part. And so we expect a lot of situations where we present ourselves as really the only option as far as converting the business and we're seeing the same thing with several European-based automotive companies where the ZERUST Excor part is specked in. So that certainly helps with the transition where it doesn’t allow for any kind of alternative VCI supplier to be used. And ultimately we certainly don’t know at this time and don’t expect that the former joint venture partner will attempt or would even consider to continue to be in the VCI area.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. Our next question is a follow-up from Dick Solomon of Axiom Capital. You may begin.
Dick Solomon: Getting back to China, do you have any idea of how much inventory of product your former joint venture partner has and it may be necessary to either. Would you potentially buy it back or would he just have to sell it through?
Matt Wolsfeld: No, that's something that we'll deal with during the liquidation process. Those are kind of much more detailed specifics that I think we can give you a better idea of after we kind of start the process and probably at the end of second quarter when we talk about the impacts from the liquidation of the business. We have a pretty good handle on all the working capital whether its cash receivables, payables, key customers, things like that. We have a pretty good idea of where everything stands. And at this point in time, the most important thing for us is the continuation of supplying the ZERUST product to key customers, not necessarily the potentially inventory sales or write-downs or utilization of existing inventory. Those are things that will kind of take care of as we're able to kind of negotiate and handle the entire liquidation.
Dick Solomon: The first focus is to maintain -- try to maintain the existing relationships and then further on once that’s hopefully is accomplished then focus on the growth opportunities?
Matt Wolsfeld: That’s correct.
Dick Solomon: Okay. Thank you.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn conference back over to Mr. Wolsfeld for closing comments.
Matt Wolsfeld: All right. I'd like to thank everybody for participating today and for your interest in NTIC. Hope you guys, all have a good day.